Operator: Greetings, and welcome to the Ark Restaurants Fourth Quarter and Full Year 2014 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 It is now my pleasure to introduce your host, Bob Stewart, Chief Financial Officer. Thank you, sir. You may begin. 
Robert Stewart: Thank you, operator. Good morning, and thank you for joining us on our conference call for the fourth fiscal quarter and full year ended September 27, 2014. With me on the call today is Michael Weinstein, our Chairman and CEO; and Vinny Pascal, our Chief Operating Officer. For those of you who have not yet obtained a copy of the press release, it was issued over the Newswire, Friday, and is available on our website. To review the full text of that press release along with the associated financial tables, please go to our homepage at www.arkrestaurants.com.
 Before we begin, however, I'd like to read a Safe Harbor statement. I need to remind everyone that part of our discussion this afternoon will include forward-looking statements and that these statements are not guarantees of future performance, and therefore, undue reliance should not be placed on them. We refer everyone to our filings with the Securities and Exchange Commission for a more detailed discussion of the risks that may have a direct bearing on our operating results, performance and financial condition.
 I will now turn the call over to Michael. 
Michael Weinstein: Hello, everybody, happy holidays. We're kind of pleased with the fourth quarter results and for the full year as well. This has been a difficult 2- or 3-year period for us, not only because of economic conditions that have started to improve dramatically but also because we've been losing valuable leases as they term out and real estate prices as such, especially in New York, where we cannot, in good conscious, go forward with new negotiations at the rentals that our landlords were asking for. So we're losing some good properties and that waterfall has been severe in the last couple years, but we're now starting to overcome that. 
 In general, New York has been extremely strong, the restaurants that we have. As you know, from previous calls, over the last 12, 13 quarters, we had a great deal of difficulty getting Clyde's going, lost great deal of money early on, it's been constantly improving. This quarter that we're presently in, we'll see some positive cash flow out of it. We feel we turned a corner. The area that it is in has substantially improved. There's a lot of construction going on. Several hotels being built. We think we're just going to be fine there. And it's gratifying that everybody who has been working hard to get this into positive territory is being rewarded. 
 Robert and Bryant Park and El Rio Grande are just really, really strong properties. So we're fine in New York. Washington, D.C., we were up for the year a couple of percentage points. We're being hurt in union station in Washington, D.C., which is under construction. Our entrances are being blocked. We've had discussions with the landlord about rent abatements, but our volume is off dramatically there. But it has picked up significantly in Sequoia, where we think we made some strong improvements and we're seeing the results. So we think we're fine in Washington. Atlantic City, surprisingly, we're up 9% in what is considered a terrible marketplace, but we seem to be holding fine.
 Boston, we're up a little bit, 4 points on the year. The thing that has been disappointing continuously for us has been Las Vegas. Our comp sales have been down every year for the last 5 years. New York-New York is a property, has gone under some construction. They are building a 9-acre park with a 20-some-thousand-seat arena right next to the property. It opens in 2016. I think we need a little patience. Our leases run to 2023 there. I think we'll start to do better once New York-New York expands into these new facilities.
 All in all, I think we're running the businesses very well. There's been some distortion in our food cost, and that's primarily due to our acquisition at the -- in Florida of the Rustic Inn. We acquired that property in February. We're extremely pleased with the way it's been going. It's been a cash pump for us. But Rustic Inn operates on a different formula than all our other restaurants. It's very high food costs, but tons of volume and lower labor cost. So food cost overall in the company had been affected by a 45% food cost at Rustic Inn, where the rest of the company runs around 30%. But because Rustic does the kind of volume it does, some $15 million annually, you'll see the bump in food cost there.
 Rest of our expenses seem very much in line. We're very, very pleased with our managers and the way we're operating these facilities. 
 Coming up shortly in the 2015 year, in January, we should get a second Rustic Inn open. That's in -- that'll be in Jupiter, which is some 65 miles north of Fort Lauderdale, where the first Rustic Inn is. We're curious to see if the brand translates well into another area. There is brand awareness of Rustic Inn in Jupiter. We have a spectacular waterfront site. We also have some validation that the volumes that we need to do are achievable because there's a guy across the street in about a 300-seat facility doing close to a $1 million a month. There's a guy right next to us doing about $7 million a year. Rustic has 600 seats in Jupiter. It's set up to do a lot of volume. We'll find out sometime in January how we do. 
 We're also expanding into Bryant Park. There is a -- the Bryant Park Grill and Cafe are doing close to $20 million. We are about to secure a lease on a small cafe at the opposite end of Bryant Park. We're sort of at the Eastern side, but on the Western side there's a small restaurant, a bar, sort of like a kiosk with seats, but it does very good volume, and I think if the negotiations go well, by April 1, we could be open there for the summer season. And that should be a decent amount of volume and a good contributor to EBITDA.
 I guess the only other thing that we are asked about constantly is how are we doing at the Meadowlands. As you probably know, we are owner -- we have a 11.6% stake in a holding company called NMR. It's a limited liability corporation. NMR, New Meadowlands Racetrack; we have our partners there are Hard Rock and a gentleman named Jeff Gural, who's a big developer in the state and he also owns 2 racinos in the northern part of New York State. We took over the operations of the Meadowlands under a 40-year lease, built a new grandstand, about $100 million. It's been very successful in terms of design and people seem to be having a good time, but you do not make money as a racetrack. 
 Ark oversees the management of the food and beverage. There are 6 or 7 outlets there. But the play there was that we would hopefully get casino license to operate a casino. There seems to be more momentum every day in terms of the New Jersey state legislature in trying to write legislation in time for a referendum this coming November, November of 2015, to permit casino licenses in the northern part of the state. The Meadowlands is mentioned all the time in those discussions, and a site in Jersey City is mentioned all the time in those discussions.
 Right now, if you ask me to be a bookmaker, and I'm not, but I guess because I'm looking for a casino license, I got to be become one. I would think there's a 100% chance that there will be an issued license to the Meadowlands that will go on the referendum in November. That's the way it looks right now. Whether or not our group gets the license outright, because we operate the racetrack or whether it becomes a request for proposal, where we have to compete, I can't give you the odds on that. Although, I do think there are a lot of reasons of why we may get it directly without going for a RFP. But that is the uncertainty that we face here. If we do get a license because the grandstands are already built, we could be in business the next day at least with the slot portion of gaming. We would have to build a casino to expand on the number of slots as well as table games, more restaurants, more facilities for the consumer. Obviously, we're concerned about dilution because we'll need to raise significant equity capital to keep 11.6% in place, but we think we'll be able to achieve that. So I think that's a roundup of what we're doing. 
 I'll open up for questions now. 
Operator: [Operator Instructions] It appears we have no questions at this time. I would now like to turn the floor back over to management. 
Michael Weinstein: All right. Well, thank you very much. This is Michael again. Enjoy your holiday. We're all excited. It's our holiday day here. And we're all going off to a nice lunch, and I hope you have a healthy and happy new year. Look forward to speaking to you all next quarter. 
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.